Operator: Hello, and welcome to the EnPro Industries’ Third Quarter Earnings Review and Strategic Acquisition of NxEdge. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to James Gentile, Vice President, Investor Relations. Please go ahead. 
James Gentile: Thank you, Kevin. Good morning, and welcome to EnPro's third quarter earnings conference call and review of the strategic acquisition of NxEdge. I'll remind you that our call is being webcast at enproindustries.com, where you will find the presentation that accompanies the call. With me today is Eric Vaillancourt, our Interim President and CEO; and Milt Childress, Executive Vice President and CFO. Before we begin our discussion, a friendly reminder that we will be making statements on this call that are not historical facts and are considered forward-looking in nature. These statements involve a number of risks and uncertainties, including the impacts from the COVID-19 pandemic and related governmental responses and their impact on the general economy, as well as other risks and uncertainties that are described in our filings with the SEC, including our most recent Form 10-K and Form 10-Q. Also, during this call, we will reference a number of non-GAAP financial measures. Tables reconciling these measures to the comparable GAAP measures are included in the appendix in the presentation materials. We do not undertake any obligation to update these forward-looking statements. Also note that during this call, we will be providing full year guidance which excludes changes in the number of shares outstanding, impacts from future acquisitions, dispositions and related transaction costs; the impact of any pending or potential labor disputes; restructuring costs, and costs subsequent to the end of the third quarter, the impact of the foreign exchange rate changes subsequent to the end of the third quarter, impacts from further spread of COVID-19 and environmental and litigation charges. And now I'll turn the call over to Eric. Eric?
Eric Vaillancourt: Thanks, James. And good morning, everyone. Thank you for joining us today. With the COVID-19 pandemic remaining top of mind for our colleagues and stakeholders around the world, we hope that you and your families remain safe and healthy. We certainly accomplished a lot this quarter. Our teams remain focused on our commercial and strategic objectives and with the volatility of supply chains and COVID-19, I would like to take the opportunity to thank each of you for your hard work every day to make EnPro an incredibly special place to work. These are exciting times for our company. In addition to our third quarter results, we are excited to announce today that we reached an agreement to acquire NxEdge, which will significantly expand our solutions offerings in the semiconductor industry. We will cover that news in a few minutes. But first I'd like to touch briefly on our third quarter highlights. We delivered another strong quarter in Q3 with sales increasing approximately 16% organically and adjusted EBITDA margin expanding 250 basis points. As Milt will describe in greater detail shortly, performance in the Sealing Technologies and Advanced Surface Technologies segments, were the primary drivers of these results. Heightened collaboration among our supply chain, manufacturing and commercial teams over the past year has been foundational to our strong year-over-year earnings growth. We have held supply chain disruptions to a minimum and successfully managed supply shortages, material cost increases and pricing initiatives. The global supply chain pressures will likely continue for some time and we will remain vigilant in working with our suppliers in delivering on customer needs. Results for the quarter and year-to-date also reflect the positive effects of our portfolio reshaping and growth initiatives. During the quarter, we announced additional moves that enhanced our overall portfolio of businesses. On September 3, we announced the divestiture of our Polymer Components business, continuing our efforts to optimize Sealing Technologies segment. Following quarter close we announced the agreement to sell Compressor Products International business, marking another meaningful step in our company's evolution, which will significantly reduce our exposure to the oil and gas market. And today the announcement of the agreement to acquire NxEdge is yet another significant step in our transformational journey. I will hand the call over to Milt for other highlights on the quarter, following which we will come back to today's announced acquisition.
Milt Childress: Thanks, Eric. As Eric mentioned, we had another strong quarter, positive momentum across most major end markets, as well as the addition of Alluxa contributed to top-line results, partially offset by the reduction in sales due to last year’s divestitures and weakness in power generation, oil and gas, and automotive markets. As reported, sales of $283.1 million in the third quarter increased 5.5% year-over-year. As Eric noted, organic sales for the quarter increased about 16% compared to the third quarter of 2020. Gross profit margin of 38.7% increased 350 basis points versus the prior year period. The increase was driven primarily by strong organic sales growth, increased pricing, benefited the divesting lower margin businesses and the addition of Alluxa partially offset by increased raw material costs. Adjusted EBITDA of $51.5 million increased 22.3% over the prior year period as result of operating leverage on organic sales growth. The benefit of reshaping actions completed in 2020, including the addition of Alluxa and pricing initiatives, partially offset by increased raw material costs. Adjusted EBITDA margin of 18.2% expanded approximately 250 basis points compared to the third quarter of 2020. Corporate expenses of $11.6 million in the third quarter were essentially flat from a year ago. Adjusted diluted earnings per share of a $1.40 increased 39% compared to the prior year period. As noted during prior calls, during the fourth quarter of 2020, we changed our adjusted EPS from the previous presentation of this non-GAAP measure to one that excludes after tax, acquisition related, intangible amortization. Amortization of acquisition related intangible assets in the third quarter was $11.2 million, compared to $9 million in the prior year, reflecting the addition of Alluxa. As reminder, our estimated normalized tax rate used in determining adjusted EPS is 30%. Moving to the discussion of segment performance, Sealing Technologies sales of $146.9 million decreased 6.9% due to the impact of divestitures in 2020. Excluding the impact of foreign exchange translation and divested businesses, sales increased 15.7%, driven by strong demand in the petrochemical, heavy-duty truck, food & pharma and general industrial markets, partially offset by strength in aerospace and power generation markets. For the third quarter adjusted segment EBITDA increased 7.8%, to $34.5 million. And adjusted segment EBITDA margin expanded 320 basis points to 23.5%. The margin expansion was driven primarily by operating leverage on volume growth, portfolio reshaping and select pricing initiatives, partially offset by increased material costs and SG&A expenses. Excluding the impact of favorable foreign exchange translation and divestitures, adjusted segment EBITDA increased 26.5% compared to the prior year period. Turning now to our Advanced Surface Technologies segment, third quarter sales of $64.3 increased 44.2%, driven by continued strong demand in the semiconductor market and the addition of Alluxa. Excluding the impact of foreign exchange translation and the Alluxa acquisition, sales increased 23.6% versus the prior year period. For the third quarter, adjusted segment EBITDA increased 44.8% to $19.4 million. And adjusted segment EBITDA margin of 30.2% was relatively flat compared to a year ago. Excluding the impact of Alluxa and a foreign exchange translation, adjusted segment EBITDA increased 8.2%, reflecting transactional foreign exchange headwinds and startup costs of a new facility in Taiwan to support strong LeanTeq growth. Just as a reminder, LeanTeq acquired in the fourth quarter of 2019 is a leading provider of highly differentiated claiming, coating and related solutions supporting the most advanced technology nodes within the semiconductor industry. Sequentially, adjusted EBITDA margins improved 380 basis points in the quarter. More broadly across the entire AST segment, we expect sustained organic revenue growth and strong profitability over the long-term. As Eric noted, we'll talk more in a moment about the exciting opportunity we announced this morning to expand this part of our business. In engineering materials, third quarter sales of $73.8 million increased 9% compared to the prior year, driven primarily by sales in general, industrial markets, partially offset by sales in power generation, oil & gas and automotive markets. Excluding the impact of foreign exchange translation and last year's divestiture of GGB bushing block business, sales for the quarter increased 11%. Third quarter adjusted segment EBITDA increased 11.4% over the prior year period to $8.8 million. And adjusted segment EBITDA margin was relatively flat year-over-year. The year-over-year increase in EBITDA was partially as a result of operating losses incurred in the prior year related to the divested bushing block business. Excluding the impact of foreign exchange translation and the impact of bushing block divestiture, adjusted EBITDA was relatively flat compared to the prior year period, reflecting material cost headwinds and higher SG&A that offset the benefit of higher volumes and pricing initiatives. Now turning to the balance sheet and cash flow, we ended the quarter with cash of $330 million in full availability of our $400 million revolver, less $12 million in outstanding letters of credit. At the end of September, our net debt to adjusted EBITDA was approximately 0.8 times, a sequential decline from the 1.1 times reported at the end of the second quarter. We'll talk momentarily about the anticipated impact of today's announced acquisition on leverage. Free cash flow for the first nine months of 2021 was $84 million, up from $37 million in the prior year, driven primarily by higher operating profits, offset by working capital investments supporting higher sales. And during the third quarter, we paid a $0.27 per share quarterly dividend. For the first nine months of the year dividend payments, totaled $16.8 million, a 3.7% increase versus the prior year. Before moving to guidance, I'd like to mention a few additional items, including events subsequent to quarter end. First, we increased our environmental reserve for the Passaic, Riverside about $4.5 million in response to estimated remedial costs and ongoing settlement negotiations with the United States EPA, bringing our total reserve for this legacy environmental liability to $5.4 million at the end of the third quarter. These negotiations bring us one step closer to resolving this legacy liability. Second, subsequent quarter end, we received a tax refund from the Internal Revenue Service for $26 million in conjunction with several years of audits proceeding the 2017 completion of the ACRP process. And finally, as previously noted, we signed an agreement to sell CPI for a price of $195 million with estimated after-tax proceeds of approximately $175 million in conjunction with the sale, which is expected to close by the end of the first quarter of next year. Moving on to Slide 11 and our 2021 guidance, in light of the divestiture of our Polymer Components business, we are adjusting our sales guidance to be in the range of $1.085 billion to $1.12 billion. And our 2021 adjusted EBITDA range to $202 million to $208 million. The only changes to prior guidance are a tightening of the range on the low-end and exclusion of earnings from Polymer Components on the high-end of guidance. That was the business that we sold in September. We expect adjusted, diluted earnings per share from continuing operations to be in the range of $5.35 to $5.55, up slightly at the mid-point from the range of $5.16 cents to $5.50 provided last quarter. Our guidance assumes depreciation and amortization expense, excluding amortization of acquisition-related intangible assets in the range of $28 million to $30 million and net interest expense of $13 million to $15 million. Now I'll hand the call back to Eric to discuss the acquisition of NxEdge.
Eric Vaillancourt: Thanks Milt. As you have seen, this morning, we announced that EnPro has entered into a definitive agreement to acquire NxEdge from Trive Capital. NxEdge is an advanced manufacturing, cleaning, coating and refurbishment business focused on the semiconductor value chain. This is an exciting acquisition of a highly complementary business that we believe will be transformative to our AST segment and deliver a compelling, strategic and financial benefits for EnPro and the customers we serve. It also marks a significant next step in our ongoing portfolio reshaping strategy. Before getting into more specifics on NxEdge, I'd like to remind everyone of our strategy as outlined during our May Investor Day and in subsequent communications. Since 2018, we have been executing on a transformative strategy to reshape our portfolio. These actions have strengthened profitability and enhanced growth through a focus on high margin technology-related businesses, which possess stronger and more consistent cashflow operating in faster growth markets. We are executing the strategy through the divestitures of non-core businesses and product lines, as well as strategic acquisitions of high growth, high margin businesses that meet our M&A criteria. You have seen evidence of this strategy in the acquisitions of Aseptic, LeanTeq and Alluxa, and through a number of divestitures completed over the past three years. This morning's announcement agreement with NxEdge and the recently announced sale of our Compressor Products International business represented another large step forward in our strategy. Let's turn Slide 14 for a closer look at NxEdge. Based in Boise, Idaho, NxEdge serves the semiconductor supply chain from six main facilities located in Idaho in California. The company is expected to generate sales and EBITDA in 2021 of approximately $190 million and $70 million respectively. We've long admired NxEdge and its management team are very familiar with their business with vertically integrated capabilities across the semiconductor value chain, including a robust aftermarket business, NxEdge will broaden our solutions portfolio. In addition, NxEdge will bring AST more opportunities during process of record qualifications with key customers. NxEdge is highly complementary with EnPro’s existing semiconductor business and upon closing, will become part of our AST segment. The combined business will have enhanced capabilities across the semiconductor value chain with significantly expanded customer relationships and new high margin revenue streams. Beyond the compatibility of our businesses, we've been drawn from the start to NxEdge’s experienced leadership and our talented employee base. Jackson Chao has been a driving force in building NxEdge into the highly profitable, high-growth company that it is today. And we're excited for him to continue leading the NxEdge as part of EnPro. We believe NxEdge’s culture aligns closely with ours, including our shared focus on values of safety, excellence, and respect, which we believe will support a smooth transition and integration. We're excited by the prospect of combined and complimentary products, technical capabilities, customer bases, and teams, making the combined company stronger and better positioned for long-term profitable growth while offering customers differentiated products and solutions. Turning to Slide 15, as we outlined at our Investor Day, we have put in place and adhere to our rigorous set of criteria for screening acquisitions, including thoughtful strategic filters and financial criteria. We are focused on businesses with growing addressable markets that benefit from secular growth trends. We look for businesses with recurring revenue streams, as it relates to the organizational profile, talent is critical and we look for experienced management teams and engaged employees, just as we found Alluxa and LeanTeq. Finally, we look for EBITDA margins and cashflow return on investment greater than 20%. In NxEdge we found a business that checked all of these boxes. The combination is expected to significantly enhance the scale and breadth of EnPro's offerings across the semiconductor value chain at a time when their entire industry is being driven by powerful, secular trends, some of which I'll show you on the following slides. From a services standpoint, NxEdge brings the EnPro highly-complimentary differentiated capabilities across the semiconductor value chain, from an advanced manufacturing, through cleaning, coating, refurbishment replacements, and new components. I want to highlight coatings in particular, which together with related proprietary material science is a linchpin of our overall semiconductor strategy. Advanced coatings are increasingly critical to the semiconductor production process, increasing production yields, especially for the advanced nodes. We believe that NxEdge is high-performance proprietary coatings materials will be a key differentiator for EnPro as a supplier in the semiconductor industry. NxEdge's facilities are all located domestically, which will position us for us to support idea on expansion in semiconductor supply chain development in the U.S. NxEdge has long-term strong relationships with top tier global IDMs and OEMs that will provide meaningful customer engagement and geographic diversification while driving higher margin growth, including an expanded aftermarket mix. As shown on Slide 16, the NxEdge combination with EnPro will expand our geographic footprint. With facilities in Idaho and California, we expect to add significant value to our global IDM customers who are expanding capacity in the United States and developing new domestic supply chains. Reducing lead times and expanding our product and service portfolio in the U.S. is timely. NxEdge’s high degree of aftermarket exposure will increase recurring revenue mix, which remains a core component of our strategy. The combination of NxEdge with the existing AST businesses would result in aftermarket recurring revenue increasing from 35% to 44% of 2020 proforma AST sales. Moreover, NxEdge is focused on full life cycle management, vertically integrated model and superior surface coating technology provides revenue visibility over a long-term horizon. We expect this combination to deliver long-term revenue growth, expand capabilities within AST and strengthen customer relationships. Turning to Slide 17, we expect AST will benefit from NxEdge’s integrated design build and vertical integration strategy, which is a major advantage in reducing lead times and improving quality control traceability. With its vertical integration and broad scope of solutions, NxEdge has a unique capability and provides customers with improved supply chain efficiency, while providing compelling product cleaning, coating, and refurbishment solutions all along the semiconductor value chain. Further, AST will benefit from NxEdge’s differentiated coating capabilities. NxEdge is a leader in advanced plasma spray coatings while Technetics Semi and Alluxa offer high density, physical vapor deposition like coatings. Combining these differentiated capabilities will enable the combined entity to serve a wide range of leading edge, semiconductor applications. Together NxEdge and EnPro will touch many steps of the product life cycle from the initial design and engineering to re-coating and reconditioning. NxEdge’s vertical integration strategy for next-generation products will create a greater installed base for our cleaning, coating and refurbishment capabilities globally, increasing process of record stickiness and resulting in growing aftermarket opportunities through the life cycle. As an installed base of advanced manufacturing equipment growth, our service annuity escalates. Further as semiconductor production becomes more advanced, particularly at the sub 14 nanometer nodes, chamber components require more frequent maintenance. Looking at Slides 20 and 21, as most of you know well, consumer trends and increased computing power in the semiconductor industry are creating powerful secular tail winds, including growth in data management, 5G networks, Internet of Things, and machine learning, as well as the expansion of the use of semiconductors from consumer and auto electronics in numerous business sectors. Most semiconductor devices are manufactured on silicon wafers and annual wafer starts are a good indicator for predicting the volume level at which semiconductor fabs are running and the corresponding aftermarket opportunities that are generated to support the fabs. As the chart on Slide 20 shows, for the last two decades, wafer starts have been steadily growing. The demand for refurbished and aftermarket components is directly tied to growth in ongoing capacity utilization at semiconductor fabs, which is driven by the growing demand for integrated circuits. NxEdge’s aftermarket business directly correlates to wafer stars and makes us less sensitive to capital equipment cycles. With NxEdge, we will be able to expand AST’s participation to other areas of the processing chambers. These in chamber products go through regular preventative maintenance cycles to ensure the fab yields meet expectations. NxEdge’s capabilities provide new components, replacement parts, and refurbishment of worn parts, relative equipment lifecycle. Once combined, NxEdge and EnPro will be well-positioned in the regions where semiconductor capacity expansions and capital expanding is expecting to accelerate. Capacity expansions planned in coming years around the world are depicted in Slide 21, show a consistent capital spending environment, which will favor the complimentary nature of the combination with NxEdge and EnPro. In addition, to adding more products inside the chamber, our combined positioning in the Americas and Taiwan, positions us in regions where spending is expected to accelerate. This not only helps our OEM business, but drives longer-term recurring revenue opportunities for replacement products, cleaning, coating, and refurbishment services. Advanced semiconductor manufacturing is returning to the U.S. and domestic fabs and IBMs will create incremental step-change revenue opportunities for capital equipment and subsequently drive demand for U.S.-based component manufacturers in cleaning, coating and refurbishment service providers. TSMC, Intel and Samsung have all announced major expansions in the U.S. focused on leading-edge chip nodes sub 14 nanometer. NxEdge’s capabilities and domestic locations will position our AST segment to capitalize on ongoing IDM expansion in semiconductor supply chain development domestically.  With that let me turn the call back to Milt to review the financial details of the transaction in the combination of more detail. Milt?
Milt Childress: Great. Thanks, Eric. Under the terms of the agreement announced today, EnPro will acquire NxEdge from Trive Capital for $850 million in cash, subject to limited closing adjustments, including working capital. We expect to time the purchase with a combination of cash, borrowings from our revolving credit facility and additional term loan debt provided by our bank group. The transaction is expected to close by the end of the year following regulatory approvals.  As Eric mentioned, NxEdge is expected to generate sales and adjusted EBITDA in 2021 of approximately $190 million and $70 million, respectively. Based on global semiconductor benchmarks, the announced expansion of wafer production in the U.S. and the capabilities of NxEdge combined with those of our AST business, we anticipate NxEdge’s annual revenue growth over the next five years, on average, to be in the high-single-digit, low-double-digit range. At current interest rates, we expect NxEdge to contribute approximately $1.70 and adjusted diluted earnings per share in 2022, which represents approximately 30% above the midpoint of our 2021 guidance range. As Eric noted, NxEdge will continue to be led by current CEO, Jackson Chao and will become part of our Advanced Surface Technologies segment. The addition of NxEdge continues the migration of EnPro’s in-market exposure toward faster growing markets, including semiconductor. As you can see on Slide 25, on a proforma basis, including the impact of the announced NxEdge acquisition and the CPI divestiture, semi sales would represent about a third of our total sales with noticeable drops since 2018 in heavy-duty trucking and oil & gas. Slide 26 provides multi-year trends for sales, adjusted EBITDA and adjusted EBITDA margin, which reflect the results of our performance and portfolio reshaping. 2019 and 2020 are as reported. 2021 is based on the midpoint of current guidance. And 2021, proforma shows the midpoint of guidance adjusted to reflect NxEdge, CPI and Polymer Components as if those transactions occurred at the beginning of the year. Of note, 2021 proforma adjusted EBITDA margins are 700 basis points above 2019 margins. And with 240 basis points of that improvement attributable to the impact of this year’s completed and announced transactions. Looking at the balance sheet, upon completion of the NxEdge acquisition, we anticipate net leverage of approximately 3.7 times adjusted EBITDA. Proceeds from the sale of CPI will lower our leverage ratio to about 3.3 times. Over time, through operating cashflow and possible further portfolio optimization, we expect to expect to bring our leverage ratio back to a target of around two times. Now, I’ll pass the call back to Eric for closing comments.
Eric Vaillancourt: Thanks Milt. Before we open it up for questions, I'd like to thank the entire EnPro team for delivering strong third quarter results, which yet again, demonstrate the benefits of our clear and consistent strategy, the sustained benefits of our ongoing portfolio, reshaping actions and our intention to continue investing in growth opportunities. We expect this momentum to continue as we focus on driving commercial and operational excellence throughout the company. Our team also helped us put us into a position [indiscernible] the exciting transaction with NxEdge for focused on completing the transaction before the end of the year and beginning the integration planning process, so we can hit the ground running upon close. We're very excited about welcome everyone at NxEdge to the EnPro team and look forward to realizing the value of this combination. This is the right deal, at the right time, with the right company, with the right leadership for EnPro in a growing market that expects to exceed a trillion dollars by 2023. We're really excited about the combination. With that we’ll open it up to the operator. Thank you.
Operator: Thank you. We’ll now be conducting a question-and-answer session. [Operator Instructions] One moment please while we poll for questions. Our first question today is coming from Jeff Hammond from KeyBank Capital Markets. Your line is now live.
Jeff Hammond: Hi, good morning, guys.
Eric Vaillancourt: Good morning, Jeff.
Milt Childress: Good morning, Jeff.
Jeff Hammond: Congrats on the deal, and certainly managing a challenging supply chain environment. Just want to – great color on this deal. Just some questions around it. One what's the interest cost you're assuming around the deal? Kind of give us the – I think he gave us forward growth rates, but what's the historical long-term growth rate for NxEdge. And then just trying to understand a little bit better the fit between LeanTeq and NxEdge?
Milt Childress: Okay. Hey, Jeff. I'll take the first part and then I'll pass it to Eric to comment more on the fit. Our financing, as I noted on the call in our prepared remarks, we're financing partially with cash, partially withdrawal on our revolver, and then partially through some new bank debt, all raised within our bank group. And it will be variable, right debt. The same pricing grid, nothing changes on our pricing grid because of the leverage the rates will go up a little bit, but basically LIBOR plus 175 to give you an idea of what our cost will be on the incremental debt. And in terms of growth rate, yes, I mean, we've – I mentioned that we expect on average over the next five years for NxEdge to grow. And you can interpret that as both sales and EBITDA, but to grow at a high-single digit, low-double digit rates. Some of this is going to depend on how quickly things develop in the U.S. with the development of the supply chain to support new fabrication of chips here in the U.S.  So, there's some upside to that, depending on how things develop. But that's how we're planning our business and planning around this acquisition.
Eric Vaillancourt: Hey, Jeff, it's Eric. Yes, in regards to LeanTeq, it does a few very important things for us. First off, it expands our customer base. Secondly, geographic footprint. NxEdge very much needs to be in Asia. And it helps us very much domestically with all the investment going on in the U.S. So, it helps us to some of those two things. In addition, the technology is similar, it’s very complimentary, and their processes are slightly different than ours, and now open up different opportunities for us. So, it expands the amount of products we can serve inside the chamber, it expands our reoccurring revenue there, increases our after-marketing sales exposure, widens our customer base, widens a geographic footprint. All in all, it's just a home run Jeff.
Jeff Hammond: That's a great color, appreciate that. Just going back to the base, obviously a lot of discussion around supply chain, just wondering where you're seeing the biggest pinch points? Which businesses seem most impacted? And if you've seen kind of any sales deferrals as a result of some of the noise here?
Milt Childress: Yes, Jeff, you are referring to you referring to Engineered Materials, or just more broadly?
Jeff Hammond: Just broadly, yes, unless that's where it's mostly focused.
Milt Childress: Yes, let’s start there with Engineering Materials that's the segment where we're seeing the most headwinds from the supply chain, from shortages, from customer slowdown due to supply chain shortages. And it's particularly pronounced in our bearings business as you know, automotive accounts for a significant portion of the revenue in that business. And automotive production has been down because of the chip shortage. And so, we're responding to that. So, that was a significant factor for us in the third quarter in that segment. Oil & gas through much of the segment too was not really vibrant. Obviously, it's making a little bit of a push now as oil and gas prices have been rising. But that was relatively flat to down a bit year-over-year. So, all-in-all, we saw the most pressure in the quarter in Engineered Materials.
Jeff Hammond: Great, excellent
Eric Vaillancourt: [Indiscernible] in the heavy-duty trucking business as well.
Jeff Hammond: So, it sounds like it's primarily auto truck markets that seem to be having these production cutbacks versus you being able to get supply or materially added costs around your supply chain.
Milt Childress: Yes. It's fighting fires every day. Eric can speak more to that, but we've been doing it successfully. Thanks to our team.
Eric Vaillancourt : It is fighting fires every day. We've been doing it through a combination of surcharges, and pricing increases and being very agile. We meet weekly and we focus on pricing weekly. It is a challenge in this environment. I keep describing it as whack-a-mole, because every day there is a new issue, but our team has been very good this year at capturing value throughout the issues. And so, we've been able to fight most of it off.
Jeff Hammond: Okay, great. I'll get back in queue. Thanks.
Operator: Thank you. Next question today is coming from Ian Zaffino from Oppenheimer. Your line is now live.
Ian Zaffino: Hi. Thank you very much. How are you guys?
Milt Childress: Good morning.
Eric Vaillancourt: Good morning.
Ian Zaffino: Great. A couple of questions here. Just first one building on the last question, can you actually give us like a price cost gap, what you faced in the quarter and maybe what we should expect on kind of a run rate basis?
Milt Childress: Yes, overall, if you look at the total company, we were above water, our head was above water on price and cost. It did vary that business by segment. And as I mentioned earlier, we've had the most pressure in the Engineered Materials segment. And so, we were a little bit underwater there. But overall, on a net basis, we were up a few million dollars on the trade between price and material costs. We were a little bit underwater as I mentioned in Engineering Materials. As Eric mentioned we've had some pressure in our heavy-duty truck business. But overall, in the Sealing segment, we did fine, we did well actually, given the performance at Garlock and Technetics Sealing.
Eric Vaillancourt: Biggest differences, the amount of raw material and engineer materials, businesses versus Sealing Technologies segment. So, if you look the percentage of material cost has much bigger impact.
Ian Zaffino: Okay. And that's a safe assumption to make going forward as well, that's you'll be above water.
Eric Vaillancourt: Well, supply chain has gotten more, tricky. And I think you've probably read that and you've heard that from other companies. And so, we're not declaring victory yet that we have totally wrestled to the ground. But what we are confident in is that our teams, our supply chain teams, our commercial teams are well coordinated and we're doing the good work to stay ahead of the curve with timely price increases where appropriate, surcharges as Eric mentioned and reacting, let’s see what happens.
Ian Zaffino: Perfect. And NxEdge, could you help us understand how you found that deal, what was it auction, was it something that you have a close relationship with the owner? How did that go about?
Eric Vaillancourt: I would say it's a close relationship with the owner. We've had a relationship with Jackson Chao going back to 2014. This is a company we long admired. We often talk about being a disciplined investor. When you look at the acquisitions we've done recently, The Aseptic Group, we had over a five-year relationship with, Rubber Fab we had six- to seven-year relationship with, and going back with Jackson Chao now seven years. So, this is a company we've been following for a long time and admiring and trying to find the right deal at the right time at the right place. And with the semiconductor industry moving back to the U.S. this is perfect time. And it's a great company and a great leadership team we're really happy to have them as part of the EnPro family.
Ian Zaffino: Okay. And then just one last question, if I could sneak it in, these numbers that you gave us for next year is that assuming any cost outs, or is there none, or how do we think about that as well?
Milt Childress: No, this isn't a deal where you will find. We're not acquiring it and baking it at any cost synergies. So, it's mostly going to be the commercial benefits that Eric has just talked to. And this is pretty much our expectations for what they will contribute on a standalone basis to us.
Ian Zaffino: Okay, perfect. Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question today is coming from Steve Ferazani from Sidoti. Your line is now live.
Steve Ferazani: Hi, good morning, everyone.
Milt Childress: Hi Steve.
Steve Ferazani: I just wanted to follow-up some of the questions are surrounding supply chain and just as you noted, going through earnings season, how many companies that weren't seeing slowdowns previously now are? When you are thinking about guidance and probably what you've already seen, particularly on the Engineered Materials side. Have you seen any meaningful slowdown beyond automotive that would make you be a little more cautious?
Milt Childress: It's primarily automotive. When you look at Engineering Materials, Erik?
Eric Vaillancourt: No, all of our businesses have had backlogs growing and that continues. So, if you look at the fourth quarter, our backlogs continue to grow, simultaneous slowing. There is we could be growing faster I would say that. But no, it hasn't harmed us other than automotive.
Steve Ferazani: When I think about, yes, the significant transformation efforts this quarter, obviously there was a lot of caution going back a quarter, given the sudden leadership change, if we can sort of walk us through, and you had said this on the last quarter, that it wouldn't slow things down, but obviously there were some concerns. Can you just walk us through just the transformation efforts, even as you went through the weak leadership change?
Eric Vaillancourt: I can speak to it first and then I'll let Milt jump in. Yes, we operate with EnPro and EnPro EEC Council, so EnPro Leadership Executive Council and have for that way, operating that way for now, going back at least 10 years. And so, the leadership team is where strategy is created and then executed in the divisions. So, this is just an ongoing part of our strategy that's been evolving over a number of years through three CEO successions, and hopefully I'll be the next. So, it is just a continuation, this is plug and play this isn't start and stop. And so, it's very easy to continue. And as you can tell, these things were underway and the NxEdge was actually initiated a long time ago.
Milt Childress: Another thing also I would add Steve is NxEdge is the result of our executing our strategy as Eric has described.
Steve Ferazani: Any update on the timing of the CEO announcement?
Milt Childress: Let me take that one. Yes, let me get that. Eric is our CEO. We have a terrific leadership team as he talked about and with really strong business leaders and a strategy that we're executing to. And so, the Board is proceeding as it plans with its fiduciary obligation and taking the final decision seriously. But I think I can speak for the Board in saying that they have total confidence in our existing team.
Steve Ferazani: And then just in terms of segment reporting with CPI soon to be exited, do you expect to report GGB standalone as the third segment?
Milt Childress: Yes, we will still have Engineered Materials which will be GGB primarily. Yes.
Steve Ferazani: And you sort of alluded to ongoing portfolio optimization efforts, any thoughts on the long-term of GGB?
Milt Childress: Well, I just mentioned possible, further portfolio optimization it could come from product lines and other moves. So really there are no decisions that have been made there. Just noting that it is possible in the future that some of that continues.
Steve Ferazani: Thanks so much, everyone.
Operator: Thank you. Our next question today is coming from Justin Bergner from Gabelli, your line is now live.
Justin Bergner: Good morning, Eric. Good morning, Milt.
Eric Vaillancourt: Hey Justin.
Milt Childress: Hey Justin.
Justin Bergner: Congratulations on the announced deal.
Eric Vaillancourt: Thank you.
Milt Childress: Thank you.
Justin Bergner: A handful of questions. I'll start with NxEdge. Just sort of three quick questions there. Are there any sales outside of the semiconductor vertical, would be the first? The second would be why does this transaction not have a roll over equity component? And then I guess the third would be sort of, what do you see as the major risk? I realize there are a lot of positives with the deal, but it's always good for investors and analysts to know about the risks that you considered.
Milt Childress: The answer to the first question is no, the revenue base of the company is all focused on the semiconductor industry. So that was question number one, I believe.
Eric Vaillancourt: The answer to question number two is Jackson Chao has decided to take $10 million from his proceeds and invest in EnPro stock. So EnPro, Jackson is a believer in our strategy as well, and wants to share in the potential that we realize for the next few years. So, Jackson will be one of the EnPro’s shareholders, and we're excited to have him as part of the family. And I don't remember your third question. I'm sorry.
Justin Bergner: The third question was just about general risks that you perceive to this deal. I mean, I understand there are a lot of positives and you've highlighted them, but what were the sort of risks that you consider and will stay abreast of as you move forward and close and integrate?
Milt Childress: Well, there are just general risks that you have with this. There is some customer concentration, that's the nature of competing in the semiconductor industry. We have capacity expansion that's planned for the United States to support what's happening here. And so, we know we're going to have some investments to make. I mean, that's a good problem to have. I guess you could call it, it's a risk in a sense, because, it's unknown exactly how it's going to play out, but we're already working on that. We're working on that before the acquisition of NxEdge. And the addition of NxEdge actually makes that probably less risky than if we were going at without NxEdge, just because of their strength and capability in the U.S. So, I'm not sure I would – there are any other risks that I haven’t highlighted Eric?
Eric Vaillancourt: Just timing. I think the biggest risk is the Intel Samsung, their investment gets delayed, or it takes longer than we think, but that would be in out years. So that would be years, 24, 25, something like that. But I actually don't see risk in the long-term semiconductor strategy in the U.S.
Justin Bergner: Okay, great. That's very helpful. It's just always good to know the other side of the equation. And then in regards to the results in guidance. So, I mean, would the guidance essentially have kept the high end on the adjusted EBITDA not for the Polymer Components divestiture, it seems like the answer is yes, but just to confirm that? And then the second thing is if the sales guide is increasing and it looks like it's increasing about $10 million, the midpoint and absorbing $10 million plus of the divested sales, why isn't the EBITDA guide going higher? Is that because there are some supply chain headwinds offsetting the better sales pace, or what is constraining the adjusted EBITDA?
Milt Childress: Yes, it's a little bit more granular to answer the question. We have to look business by business, but I think some of it is what you described, some of it is we're anticipating higher SG&A costs as we’re returning a little bit more to normal now. That's all in the advance of supporting additional future growth, obviously because we spend SG&A and we travel and we meet with customers for a reason. So, some of that is baked into our outlook for the fourth quarter and therefore our – we pass guidance for the year.
Justin Bergner: Okay, great. Then it would have clipped at high end of the EBITDA range would have stayed the same without the polymer?
Milt Childress : Correct. Last time we revised it you are right. It remains unchanged at the high end, except for the divestiture of Polymer Components, which I think you and our investors understand.
Justin Bergner: Okay. And just lastly, on the higher sales guide, but sort of unchanged EBITDA guide at the high end, you mentioned some higher SG&A. Is there also an element that part of the higher sales guide is just sort of passing through higher input costs and it's not really volume-driven. 
Milt Childress: Correct.
Justin Bergner: Okay.
Milt Childress: That, correct. And some of the surcharges that Eric talked about as well.
Justin Bergner: Okay, great. Thanks for taking all the questions.
Milt Childress: Thank you.
Eric Vaillancourt: Thank you.
Operator: Thank you. We reached the end of our question-and-answer session, I'd like to turn the floor back over to James for any further or closing comments.
James Gentile: Thank you very much, everyone that concludes our conference call this morning. I’ll talk soon.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.